Operator: Good morning. My name is Angela, and I will be your conference operator today. At this time, I would like to welcome everyone to LiveOne earnings call. [Operator Instructions] Please be advised that this call is being recorded. [Operator Instructions] I will now turn the conference over to Aaron Sullivan, you may begin.
Aaron Sullivan: Thank you. Good morning, and welcome to LiveOne's financial results conference call for the company's second quarter ended September 30, 2024. Presenting on today's call with me is Rob Ellin, CEO and Chairman of LiveOne. I would like to remind you that some of the statements made on today's call are forward-looking and are based on current expectations, forecasts and assumptions that involve various risks and uncertainties. These statements include, but are not limited to, statements regarding the future performance of the company, including expected future financial results and expected future growth in the business. Actual results may differ materially from those discussed on this call for a variety of reasons. Please refer to the company's filings with the SEC for information about factors, which could cause the company's actual results to differ materially from these forward-looking statements, including those described in its annual report on Form 10-K for the year ended March 31, 2024, and subsequent SEC filings. To find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed today in the company's earnings release, which is posted on its Investor Relations website. And we encourage you to periodically visit the Investor Relations website for important content. Following discussion, including response to your questions, contains time-sensitive information and reflects management's view as of the date of this call, November 7, 2024. And except as required by law, the company does not undertake any obligation to update or revise this information after the date of the call. I'd like to highlight to investors that the call is being recorded. The company is making it available to investors and the media via webcast, and a replay will be available on its website in the Investor Relations section shortly following the completion  of the call. Additionally, it is the property of the company and any redistribution, transmission or rebroadcast of this call or webcast in any form without the company's expressed written consent is strictly prohibited. Now I'd like to turn the call over to LiveOne's CEO, Rob Ellin.
Robert Ellin: Thank you, Aaron. Good morning, everyone, and thank you for joining us today. We appreciate your continued support. I'll begin with a brief overview of our record-breaking financial results, followed by updates on recent developments and our vision for the future. Q2 financial overview. We achieved record revenues in the history of the company for the first 6 months. Consolidated revenues of $65.7 million, with adjusted EBITDA of $6.6 million. Q2 consolidated revenues of quarter was $32.6 million, a 14% increase. Our Audio revenues delivered $31.7 million, an 18.18% growth. Our adjusted EBITDA, just on the Audio division, was $5.6 million. We closed the quarter with $11 million in cash, up over $4 million from the previous quarter. And again, earlier in the year, we converted all of our debt at $2.10. Now to our opportunity with Tesla. Tesla has been a little misconstrued in that we extended our contract through May of 2026 under new terms. These new terms are now the 7 different iteration of a 12-year partnership with Tesla. Exciting part is this is everything that our management team has asked for Tesla, which is to give us the opportunity, like to market to our customers to expand to all devices. With that, Tesla will be helping us and has started to already to market our offering to the millions of cars existing out there in North America. We got prominent space on the home screen of Tesla in perpetuity, that beachfront property, when you think back to Sirius or XM Radio, they spend billions of dollars getting to this point to have that ability to convert these customers. We now have direct access to Tesla customers for cross-selling and to upsell them from a $3 subscriber who can only use it in the car, right, to our larger opportunities of podcasting, e-books, live streaming, pay-per-view. Tesla will continue paying monthly fees on existing [ grandfather ] cars. What's exciting about this opportunity is we've never been able to be valued based per sub. Subs in the space get valued between $200 and $1,000 a sub. This has also open the floodgates to major opportunities with other automakers. We publicly said we are in deep discussions with 8 of the major auto companies around the world. I humbly believe it feels like since the announcement that people believe that we were under exclusivity with Tesla, we have an opportunity now to really expand those partnerships with other auto companies. That'll lead in to the diversification of our business that we've been talking about for the last 12 months. We hired Bill Wittress  as our Head of B2B. We've now expanded that B2B team to 11 people, from 1 person hired a year ago, just over a year ago to now 11 people. We see 8 verticals with huge opportunities to diversify and expand the business across automotive, carriers, hardware, retail, hospitality, airlines and travel, loyalty programs, credit card companies. We announced 1 of those first major deals was a $24 million, $2 million a month major streaming part. Then we announced TextNow over 100 million users. We've announced partnerships with eBay, Facebook, TikTok. We are in active negotiations with dozens of Fortune 500 and Fortune 250 companies by -- including those 8 auto companies. We fully expect to announce at least 2 before year-end and 2 before March 31, our fiscal year-end. Now as you go into our podcast business, really exciting quarter as well. PodcastOne success continues. We delivered -- we've grown from $20 million to a run rate of $50 million over the past 4 years. We have 100 podcasts in our pipeline, 10x our normal amount in the history. We had 8 podcast networks in our M&A pipeline, 185 podcasts, now adding 50 more in the next 24 months. We are adding almost a new podcast every 2 weeks. LiveOne has also acquired 224,000 additional podcast shares this quarter and over 550,000 shares this year. We will continue to buy back additional stock in PodcastOne. And we now own over 73% of the company. We are on our way to over $100 million over the next 24 months. Podcast to TV and film adaptations. I've talked about this a little bit on our conference calls before. This is just starting to really, really start to take off. We now have a slate of over 10 podcasts that have potential to be TV and film adaptations. We have signed 2 of them to streaming partners, including Varnamtown and Vigilante and a third opportunitist to a documentary and we see material opportunities to turn these without any additional cost to the company and massive upside for the company. Next our celebrity brands. We've just announced with SuperDuperKyle, our second celebrity band called Smile -- Smiley. We see, again, 7 to 10 pods of these celebrity bands a year for the next 5 years, unit potential of $10 million to $1 billion of upside with very little cost to the company as we utilize our partners in social media, artists, actors, producers, podcasters, social media stores to drive these brands across their social media. Our publishing business grew over 300%. Tonight we are launching our live streaming pay-per-view event for SuperDuperKyle's album, of which we own 50% of the publishing. Our live stream and pay-per-view has had over 5 billion engagements in the last 4 years. With that, we continue to buy back stock. We have now bought back almost 4.5 million shares of stock. We have -- we have increased the buyback to $12 million, and we'll continue to buy back at these levels. I am proud of my team. I'm proud of what they've been able to accomplish. We've gone through tougher times than this, including in COVID, we lost all live streaming business and came out of it stronger than ever. When you think back, when COVID hit, we were at $38 million in revenues, lost 1/3 of our revenues, all of our live business, all of our live streaming we came out of it and now we did $65 million for the 6 months. So we're looking forward to any questions for everyone. I'm going to hand it off to my CFO, Aaron Sullivan. Thank you very much.
Aaron Sullivan: Thanks, Rob. I'll spend just a few minutes providing a very brief overview of results for the second quarter of fiscal 2025 ended September 30. Consolidated revenue for the 3-month period ended September 30, '24, was $32.6 million, an increase of 14% over the prior year period. Slacker posted record revenue for Q2 of $19.5 million and PodcastOne posted revenue of $12.2 million. Consolidated revenue for the 6-month period ended September 30, '24, was a record $65.7 million, an increase of 17% over the prior year period. The second quarter of fiscal '25, revenue consists of 60% membership and 40% advertising, sponsorship merchandising and other compared to 58% membership and 42% advertising, sponsorship and merchandising and other in the prior year period. Consolidated adjusted EBITDA for the 3 and 6 months ended September 30, 2024, was $2.9 million and $5.8 million, respectively. On a U.S. GAAP basis, LiveOne posted a consolidated net loss of $2.7 million or $0.02 per diluted share in Q2 of fiscal '25. As of September 30, 2024, total members, which include 3 members were approximately 4 million. Note that included in the total members are certain members who are currently subject to a contractual dispute for which we are not currently recognizing revenue. Rob, I'll turn it back to you.
Robert Ellin: Yes. So I'm going to open up to questions. So look forward to any questions, and then I'll close it out at the end. So thank you very much.
Operator: [Operator Instructions] And your first question comes from the line of Brian Kinstlinger with Alliance Global Partners.
Brian Kinstlinger: Great results in the quarter. A laundry of questions as some investors have asked me. First question I have is, how many paid subscribers do you have that are either going to be grandfathered in or that are not related to Tesla?
Robert Ellin: Yes. We can't give that number, Brian, as I've told you before, but, yes, it's a percentage of the total number of subscribers out there. But it's not a number that either Tesla or us are able to provide publicly.
Brian Kinstlinger: Okay. And then what percentage of your Tesla users listen to your digital radio for more than 10 minutes a day or whatever time frame you think is statistically significant?
Robert Ellin: Yes. I think there's 2 -- I mean, just to give you a highlight on, really exciting. Even with this change that Tesla has made, as an example, this week, 285,000 people used our service, and for this month, it's well over 1 million people have used the service. So it's really exciting to see, any usage, right, the consumer is using an average of about 20 minutes, which is extremely high for the industry.
Brian Kinstlinger: Okay. I know the plan doesn't change until December 1, but have there -- have you seen any conversions yet? You said Tesla is already reaching out? Or is it too early and no one will really sign up until after December 1?
Robert Ellin: No. We're already seeing some nice sign-ups. We're really excited about it, and we're going to be talking about that, I would say somewhere in the middle of December to the end of December, we'll probably hold a conference call on it. But really exciting, even though they're still giving away for free, we're signing a lot of subscribers right now. And in signing them, here's what Tesla has done. They have moved -- they have sent out a message, right, which shows the orange button that was previously there to finally giving us that LiveOne branding in the car. When you think about what Sirius and XM Paid, right, to get that prime real estate. So in almost every car I've seen, right? I take a lot of them, I've been in a lot of Uber. I was in New York all last week. Every Tesla car you see, I also owned 5 Tesla cars, right, have now changed that orange button has now that bottom #1 spot in real estate on Tesla, you're going to see that LiveOne button. Now it takes a little education, right? People have to figure out what it is, right? And they click on it, they immediately can hit that bar code and they can choose to convert, but it's a little tricky because you could also listen for free, so you still have another month for that. But we're really excited about the number of conversions. It's exciting. It's energized. I think we expect almost none, and we're signing a lot every day.
Brian Kinstlinger: Last question related to Tesla and I have a few others. When someone buys a new car in North America post December 1, will they get a month or 2 free like you do with other cars with Sirius? Or will there not be a free subscription?
Robert Ellin: I can't answer that yet, right? This is the first time that the company has had the opportunity to talk to those consumers. You're going to see a lot of different things that we never could do before, right, including advertising, right? These are things that we didn't have the capability of doing before, right? We were strictly paid for by Tesla, right? It was an amazing partnership, right? And that was the terms of it, right? No advertising and so on. Now we'll have the ability to be able to really stretch our arms and really go out there and be able to do the different marketing and different price ranges, right? As you can already see, if you've hit that code, Brian, we already offer a $3.99 a $34.99 for a year, right, and then $99.9 for a year. So huge discounts to everybody else and can jump with Tesla. So it's really exciting to see us have that ability and be able to stretch our muscles and be able to showcase that and really be able to start to sign these subscribers and have the individual as a customer of the company and be able to upsell them the podcasting, to pay-per-view, to live streaming, to all the different verticals, e-books that we have. This is the first time we've had that opportunity to do it.
Brian Kinstlinger: Great. Switching gears. Are you already integrated into TextNow? And if you are, has there been a meaningful impact yet to the subscriber base in the first 4 months?
Robert Ellin: Yes, it's really just beginning. It's an exciting partnership, but we've just started to start the trials, right? They have over 100 million users. This is a -- like a Boost Mobile for anyone that doesn't know. It's a low-end provider of music -- of phone service, right? So they're a perfect fit for us. We're going to see how well that turns out. And I think both parties are really excited and energized by the partnership, but we're in the very beginning phases of it.
Brian Kinstlinger: Great. And then on Podcast, did you disclose -- I mean you have in the last few quarters, how many titles you added in the second quarter? How many you onboarded? And then what's the expectation for the second half of the fiscal year?
Robert Ellin: That's a great question. I don't think we put the number. Aaron, if you have that, we should have, but we put the total for the year. It's really a staggering number. I think we've added now, for the 12 months, I think we just announced our 49th new podcast. We're adding almost 1 every 2 weeks right now. And Brian, these are podcasts with real traffic and real revenues. So the podcast industry is heating up, as you can see. The elections, like there's an argument Elon Musk just came out today and said Trump won the election off the podcast. If anyone that follows this, podcasting is just exploding. You start to see that second wave. You saw $28 billion acquisitions. You're starting to see that second wave kicking in right now. The Kelsey's just signed for $120 million with Amazon. Smartlist just moved over to Sirius for $150 million. Joe Rogan just signed for $250 million, right? And it's kind of the haves and have nots right now in podcasting. The smaller podcasts are all coming available. This is our sweet spot, those 50,000 to 250,000, maybe even 500,000 downloads of true podcasters really need a home, and we're really the best place you can come; the only place you can come for a full 360 experience. And as I said, we have over 100 podcasts in our pipeline, the largest by 10x in history. We have 8 podcast acquisition mergers in discussions right now. And we've just added Steve Lehman to our team. He's just a great addition to the team. Steve built Premiere Radio from $30 million public company to a $1 billion public company and is really one of the experts in radio. And with loss of norm, [indiscernible] it really is a great addition to the team, and I think it's going to be hugely helpful. And like I said before, I fully see us now growing from $50 million to $100 million over the next 24 months.
Brian Kinstlinger: And last question is, I know, Rob, you've got your team super motivated and there's very few people more motivated than you. But even your guidance suggests you're going to shrink before you recover based on your execution and conversion of Tesla subscribers. So I just want to understand how management is thinking about overhead in the short term? And if there should be -- if you expect any changes until you see how things play out?
Robert Ellin: Well, we're not going to make any changes yet, right, because we're so excited about the opportunity, right? When you get that beachfront property, we're going to give up some revenues, right, in the beginning right, to now convert these subscribers, which we have the opportunity of perpetuity, but it's really going to showcase that first 90 to 180 days, right? As we get into the middle of the fourth quarter, we'll have some real decisions to make on that. Remember, you got to remember in this business, almost 70% of those revenues go to the music industry, right? So by -- good news and bad news is you automatically cut 70% of your cost, right, if you don't sign those subscribers, right? So now you're just looking at 30% of that, right? So it's an easy fix. And as you know, we cut from 350 people when COVID hit, we were at 100, I don't know, 120 at some point. We're probably at 130 right now. We'll do what's needed to be done, and we'll do it. We've proven over and over again, that this team is resilient and then add a maneuver in tough times, and we'll come out even stronger than ever. But we're not going to make any moves on it right now, especially with us seeing subscribers signing up every day right now, the usage not going down. It's kind of amazing that our usage is not going down when it's -- the conversion is tricky right now, right? You're seeing it in your car, right? You'll see a picture right at that beautiful green button that, yes, my son happened to create that logo, so I'm very proud of it. But that logo, right, we finally have that prime real estate. You see it in every single car, now you click on it, you get that code, but you can still listen for free. So we're really not going to have a full clear picture, right, until middle of December to middle of January how those conversions are going. But we couldn't be more excited about what's happened so far.
Operator: Your next question comes from the line of Barry Sine with Litchfield.
Barry Sine: Just a follow-up question on Tesla. Do you have access to their subscriber base? Is it only through the car? Or do you separately have access that you can market to them?
Robert Ellin: Yes, we've got to be careful, again, we're under strict NDAs with Tesla. What I could tell you is that they have been extraordinarily cooperative. We've worked in collaborations to put the marketing package together as best as we can. As you know, when you're reaching out to millions of people, you have to be careful with marketing you do and don't. But for anybody that's seen it, right, you see this beautiful picture that Tesla has sent out across the car as well as in e-mails to and it goes out multiple times. Every time there's an upgrade, you'll continue to see that. You'll see it's a live -- the live streaming music has now moved from this orange button with an arrow going to a LiveOne logo. right? Number 2 is, and I should have shared this on this, if I could, but yes, next time we will do that is when you look in the car, it is so exciting, Barry, to see this. You own that beachfront property, right? We lost some of our tenants for a minute, right? Now the question is, can you fill that beachfront property? If we could fill that beachfront property, this is going to be a moonshot. And as you know, whether it's yourself or is Brian, nobody has really been able to give us a per-subscriber, right, number here, right? You look at Spotify, it is trading at $400, right? It's trading at these crazy sub numbers. We have such an opportunity right now that if we can convert 25% of our subs, right, and that doesn't count new cars coming, so we'll be in the car in perpetuity. If we can convert those, right, you're going to start talking about $200 to $1,000 a sub in the space. And you're going to give us the ability to be able to upsell those and grow from $3 to a much higher number. And I fully expect that number is going to grow from $3 to at least $5, I mean it could be as high as $7 or $10.
Barry Sine: And just to help us think about how to get at that number of subscribers. I believe in the past, you've released a number of Tesla subscribers within your base. I don't know if you've done so recently. And then also, we have to look back at pre-2018, you were giving -- back then, you were giving out subscriber numbers. So presumably those were mainly Tesla. Those would stay on, if I understand correctly. And then the delta between what you've announced as customers in 2018 numbers would be the jump ball that you're going after with marketing, and we're hoping, I don't know, 25% penetration at $5 a month. Is that the right -- I'm not asking if the numbers are right, but is that the right way to think about it?
Robert Ellin: I think it's a good thought, right? I mean that's a good thought, right? Again, we can't give the exact numbers that it grandfathered, but we fully expect a lot of them, and we fully expect to convert a lot. And again, we're cautious, right, in this, right? This has some risk in it, right? I definitely have some risk in losing some revenues and EBITDA in the beginning, but you have an opportunity to grow massively and really be valued properly and valued against your peers afterwards in a much more unique way.
Barry Sine: And Rob, on the broader pipeline, you did an update over the summer. And I think if I recall correctly, there was about 60 substantial customers in that pipeline. Wonder if you could help us on an update there. Obviously, we've won -- you've announced that you won 2 major customers. You said by the end of the year 2 more, by the first quarter, by the March quarter, I think 2 more, do we still have 60 total opportunities? Has that grown? You've certainly grown the size of the team that's going after that base. But what does that pipeline look like now in your ERP system?
Robert Ellin: Yes. So we didn't increase that number yet, but I fully expect that as we do an update call, the middle of December to middle of January, we're going to be talking about that number growing. I wouldn't be hiring. As you know, Barry, I was cutting substantially, right? And some of that was going to happen anyway because it was consolidation. And some of it was because of COVID and some of it because we closed our live business and the merch business, right? But the reality is, I wouldn't be growing it to 11 people if those deals aren't moving fast and we don't feel that confident that we're going to be announcing sizable deals. And I don't know why people discount it, but the first deal we announced, right, it not only did it happen, right, which is $24 million, but you see it in the revenues, right? It's it actually not only happened, but it's working right? That deal may get bigger, right? So we could be more excited about this. You don't need to land too many $24 million deals to change the history of this company, right? And as you know, Barry, you know me a long time, and you have people that know me whether it was iWon, Digital Turbine, it was Majesco. I built so many of these companies off the backs of B2B deals. We never really had the opportunity to do it because we had a messy balance sheet, right? We had COVID, we lost our live business, some of the acquisitions we did, which unfortunately, on the merch side of it never really panned out because of COVID. We had to pivot right? We've had to pivot over and over again. Now we don't have to pivot. Right now, we've got to focus our energy on those B2B deals and landing those B2B deals. And I would say it's way higher than 65 right? I can't give you an exact number yet, but I think we'll be talking about it a lot. And I think you're going to see more streaming partners. You are going see more auto partners. You're going to see a retail partner, right? I stated in the last call, I expect a higher -- I made a B2B for retail. I see a massive opportunity there, right? Everybody in that space has to compete with Amazon, right? You see Walmart just did a massive deal. They bought Vizio for $2.3 billion. I see telltale signs, there are going to be -- that music subscription could be synonymous with every one of those retailers. And if you want to keep your customers in the funnel and get them to buy more things, it's certainly working amazingly well for Amazon. If they're going to compete with Amazon, they're going to have to do more of it, and they're going to have to do it fast. So we see that as the next big vertical for us. But again, just going back on the auto side of it, it's kind of amazing what's happened. And Aaron and I just talked about this yesterday, so like all of a sudden, it almost feels like people felt we were in exclusivity with Tesla when it wasn't the case. They were exclusive to us and paying us, but it seems like the floodgates may be opening up to big opportunities with other auto companies now that we've been talking to, but the dialogue has gotten way more serious since the announcement.
Barry Sine: And 1 thing you haven't talked about on this call that I believe you've said in the past is an opportunity is the upsell/cross-sell opportunity whether it's with the Tesla customers or others where you may have the customer relationship with information, you've talked about the celebrity brands line. Will you have an opportunity to cross-sell let's say, somebody from Tesla signs up for a subscription. Can you then cross-sell them some of the celebrity brands products or other live products?
Robert Ellin: Absolutely. And I mean all this opportunity to open up advertising, right, is game changing for us, right? We've never been able to talk to our customers before, right? We -- it was a beautiful deal. They were a great partner, right? They're paying us $3 a month, right? But we couldn't talk to those customers, right? And we just had -- we got a customer, we got paid and we were able to deliver the music to them, which was great. Now we can start to do a lot of that, and you see a lot of telltale signs. Tonight, we're doing this amazing event tonight. We are going to cross over -- this will cross over multiple parts of our business, right? We are launching SuperDuperKyle, new albums, he has had over 1 billion streams. We're launching it literally at a place called Harry's, which is around the corner from my house next on the [ Troubadour ]. They gave us the entire place tonight to do it. We're live-streaming it. We're launching this Coffee Tonight, this product that we own as well as we own 50% of that song. So you're seeing that pollination that we've talked about, Barry, where we -- from the same celebrity, same piece of content, we get multiple revenue streams with no additional cost to us.
Barry Sine: Do you own the first half of the song or the second half of the song? I'm just -- never mind. On the 8 companies -- the 8 verticals that you've talked about, can you talk about which 1 or 2 are the most promising where you're seeing the most traction? And what are the customers telling you where you're getting further down in the process?
Robert Ellin: Yes. I mean I think you're going to hear a lot of this. Obviously, the live streaming partner,  they do $2 million a month, placing our content inside of other streaming partners, right? It's a telltale sign. You're watching all these streaming partners struggled tremendously, right? The cost of content has skyrocketed. Minimum wage has gone up tremendously. Cost of production has gone up tremendously. Competition is fierce, right? Netflix is eating everybody's launch, and it's costing $1.6 million an hour for content, right? Well, we've got this great luxury that audio content, right, podcasting content, pay-per-view content, music content is way cheaper, right? So we have 3,000 hours of programming, 3,000 artists, right, who performed on our platform; everyone from Justine Bieber to Bruce Springsteen, The Rolling Stones. So we own that video, right? We own the interviews in the backstage in the green rooms, right? Some of the biggest stars in the world. All that MTV-like content has unique value. Our podcasting, you're just watching it, again, just to highlight the president's election. You just watch the numbers that Trump delivered on Joe Rogan and Tucker Carlson and, of course, the Board, every politician in there, and it's like -- it's just magical. What's happening in the podcasting. I'd be calling for this, right? COVID podcasting grew from $400 million to $2 billion. It's on its way to $25 billion. And it's not just because of podcasting, it's now every television host, every radio host is becoming a podcaster. It's a better medium and it's starting to reach globally as well. So we see big opportunities there. And you're going to start to see those celebrity brands from our podcasters, right? Our podcasters, just think about this, right? 50% of the revenues come from direct response. They're selling everything from insurance, right, to better health, to Viagra, right? Well, this is superstars talking to their super fans. They've got massive influence over it. I fully expect to see multiple podcasters of ours launching their own products over the next 24 months. Great. Well, just to hit on that, Barry, because I think it's important. And I say this very humbly to everyone, I own 48% of Atmosphere Films. It's the first thing I did when I moved to Los Angeles, right? I invested less than $3 million into that company, right? We had a slate of 100 potential films. Those were books, scripts and stories. These are podcasts that have proven audiences, proven track record, and we already know the demographics. And now when you're working with your streaming partners, you walking in the missile. On our last conference call, I promised everybody that we're going to sell Varnamtown in a bidding war. And within 6 weeks, there was a bidding war on it, and we'll talk about it a lot more, and we'll talk about our partner, in the middle of January we'll start talking about it. But the biggest producers, the biggest writers, right, have been hired on that and millions of dollars are being spent between Vigilante and Varnamtown at both being spent for those to be greenlit. And knock on wood, if they get greenlit, those could be game changers for the company, right? And I say this humbly, when I did Atmosphere, I owned the product, we own 5% of the royalties from a movie called 300 and 5% of the royalties from movie called Spiderwick Chronicles and those movies did $1.3 billion. So if you can own a television show, you can own multiple. We have 2. We have 1 documentary and we have 7 or 8 more in the pipeline now that we're going out with. There's another great opportunity, so I hope you all get to listen to. It's a really -- it's a sad story and an interesting story, but it's Tim Fallon, who is very famous for going around the world, stopping sex trafficking and then it turned out that he -- the story goes, and I'll be careful in my words because I want you to get an opportunity to listen. As you listen to it, they made a huge movie about the guy, he is a CIA agent and all the great things you did, and it turned out you may be on the other side of the tracks. If you have an opportunity to listen to it, I'm positive this one is going to be sold again to one of the streaming networks.
Operator: Your next question comes from the line of Jon Hickman with Ladenburg.
Jon Hickman: I have a question for Aaron. Can you hear me okay?
Aaron Sullivan: Hey, Jon.
Robert Ellin: Hello?
Jon Hickman: Okay. So the G&A expense it was up quite a bit this quarter. Is there something in there that is different?
Aaron Sullivan: There's a little bit more stock-based compensation running through? Are you comparing it to sequentially or year-over-year?
Jon Hickman: Sequentially.
Aaron Sullivan: Yes. There's a little bit more stock-based comp in there, and there's a little bit more audit fees. And that's just the timing of when the work for the -- we had some reviews and audits to go over from the prior period, but that kind of normalizes itself out over the year.
Jon Hickman: Okay. And then my other questions have been answered. I just wanted to maybe ask a little bit about the other B2B opportunities. I mean, it seems to me like if you could sign 1 or 2 more like the first streaming one you have, your issues with Tesla would kind of disappear. Is that not the case?
Robert Ellin: Yes, I think that's -- if we can sign -- I mean we're -- I mean the answer to that is we don't think -- a, we're excited about the Tesla opportunity. right? Super excited about it, right? This is a mass optionality for us, right? Number 2 is, in terms of the B2B deals, it's not where we're -- we have signed and we're going to expand those deals, and we're going to have more deals like that deal, and it's coming very shortly. So I don't look at them as a replacement, I look at it as an enhancement.
Operator: Your next question comes from the line of Sean McGowan with ROTH Capital Partners.
Sean McGowan: Want to pivot for a second back to something you mentioned earlier in the podcast world, it seemed like there was a period there where it was red hot, and then some of the big players were backing away from it and that created an opportunity for you guys to pick up some shows. Are you seeing the kind of -- is the space heating back up? And is that affecting the tenor or the tone of the negotiations that you're having in some of these shows? Are deals -- are hot deals coming back and the cost of getting shows rising?
Robert Ellin: It's an interesting thing. It's kind of the haves and have-nots. Like the big shows you can't compete on even if you had a pool of money, right, these deals, the Kelseys and the Smart List, I mean, they're really just multiple multiples, 5, 10x revenues, right? You're not going to compete in those. But the smaller deals, there's very few of us left. There's very few competition that can really compete in it. There's a little bit of VC money that came in, so there's a couple of deals done. But I could tell you today, we just signed another $1 million podcast, just got signed and will be announced next week. We're signing pretty fast, and we're in the trenches right now. We just bid on $12 million of podcast deals in the last 10 days. There's a lot of opportunities for the small to midsized podcasts. There's not opportunities for the big ones. The big ones you're not getting close to.
Sean McGowan: Okay. And the heat on the big ones is not indicative of the cost of getting the small ones going up?
Robert Ellin: There's a little bit of competition you see, but it's interesting. I think I've told you this before, Sean. We were just in active negotiations. We just announced our extension with Adam Corolla. We just announced our extension with LadyGang. So all of our biggest podcast that would be just in that same foray, we never lose them. And now what humbly is happening is we're starting to get a lot of the other -- a, you're getting from Spotify, Apple, Amazon, you're getting a lot of podcast from them that are just too small for them to manage, right? They're still distributing them, they're distributing it for us, right? They're falling into our lap, right? Then you're getting the opportunity that some of the midsize ones that we really weren't available for a while, we're starting to see opportunities. There are some other bidders in it, but we're seeing a real opportunity to grab some of those and knock on wood. I mean if we could grab half of this $12 million, we just got 1 million of it. If we get half of it, which is what I think we're going to get, it's going to be a big jump, giant jump for us over the next couple of quarters.
Sean McGowan: Okay. And turning for a minute to the celebrity brands. Some of these categories you've been talking about a while and you've got a lot more that you've announced and the new ones that you're talking about, when do we really start to see some kind of needle-moving revenue from these lines? Are we on the threshold of that?
Robert Ellin: Well, let's cross our fingers. We just got distribution for our [ Wine With Jeremih ]. We just got into the state of California, Georgia. We're about to get Pennsylvania. We got 600 cases in the first week, right? Not a giant number, but once you start to get those, you get 600 cases, they sell, the next order is thousands and thousands of cases. So we see a real opportunity there. We see -- you don't have to get to in that business, as you know, Sean, right? When we built Avion and Entourage, it only got to $20 million of revenues and sold for $250 million. If the trajectory is there, you're going to get a lot of money and you're going to either be able to raise money at a substantial valuation into those, right? And part of the beauty of this is there's no real cost to us. We're getting ready to launch our second line, which is our Purple Rose. We're really excited about this. We haven't announced the celebrity talent, but it will be a massive, huge talent that surround this. And then we get this double whammy with SuperDuperKyle, right? We get multiple prongs, okay? We haven't announced yet, and he's going to do a podcast too, right, he's like the good guy wrapper and he's done over 1 billion streams, right? And he's got an album coming out that we produce, so our producers on Splitmind and Drumify produced it. So we own half the music. We're launching a live stream with them. right, which is going to happen tonight, and then we're launching the coffee as part of that. And so you're going to get 3 pieces of the pie all in that, and you're going to get some of the biggest talent in the world, including Anderson Paak, who invited us to hold the event in his venue tonight. And he's done this first before, I'm hoping he shows up, who is one of the biggest stars in the world. So really exciting to see that, and I think you're going to see us have 8 to 10 celebrity brands. We may even have some brands that come into us that are already brands that are out there doing real revenues that may come into the fold that need our skills. And we haven't announced fully. Some people know, but we hired Sarah DeBolt, who is consulting for us, but we haven't brought her in full time yet, right, but that may happen soon. She ran all the marketing for White Wash from $600,000 to the current $8 billion. And then subsequent to that, she launched Kevin Hart's tequila, which sold more Tequila and Casamigos in the first year. So we've got a world-class team here between Josh and the music side of it, right? And the talent side of it, right? And our talent team at PodcastOne love celebrity brands with podcasters. The fact that direct response works so well, you'll know how those products do so quickly and so fast out of the shoot and we've signed Vanderpump. We've just expanded that lineup, as you'll see next week, dramatically drive all the house wives. And so there's so many opportunities here are products that can really work from cosmetics to multiple different brands, expanding way beyond coffee and alcohol.
Sean McGowan: Great. And with the economics on the music business, which can be pretty opaque sometimes. When you say you own half the song, you mean you get half the economics of up and down the stream on that song?
Robert Ellin: We own half the publishing, right? So only half publishing? If it did like iSpy did -- what Kyle Song did last time, we make tens of millions of dollars of it, right? I can't tell you it's going to do that. But even if it made us hundreds of thousands, this is all brand-new money, brand-new revenue streams coming in, right? Our publishing business was up 300%, right? It's just starting to really grow. We've just announced a partnership that I'm surprised the Street didn't read into, but I announced an AI partnership that Seekr and Intel. Intel is obviously competing with NVIDIA. It was the biggest chip maker in the world. They got to come back somehow and they're entering the AI world in a positive way. And so they're building and spending all the money on it to build out the entire platform for us for beats and sounds across Drumify. But between Drumify and Splitmind in publishing, as you know, because you know it all too well from Renaissance, right? These publishing sells for 16 to 25x EBITDA, right? We have an opportunity here. We don't have to get that big to have a division that's worth a lot of money. So you got massive optionality in our publishing. And josh Hallbauer who ran who ran [ Vision Roc Nations ] and had multiple #1 songs. We got another #1 song. We just hit it with Brent Faiyaz and Wizkid, #1 African song ever to come to the markets, and it's already done, I think, 13 million streams, about to hit radio. One of those songs could be millions to tens of millions of dollars of cash flow to the company. So keep your fingers crossed. And again, these aren't guaranteed, but there's a lot of optionality. When you start to see those kind of numbers and the amount we have, we own a piece of 1,000 songs right now and growing.
Sean McGowan: Okay. A couple of questions for Aaron. Aaron, slipping back to a question on G&A. Are you suggesting that the G&A level that we see in the September quarter is, there are reasons for that to be higher than what we should expect in December and subsequent quarters because of the timing of some of those costs?
Aaron Sullivan: Yes, exactly. So I would expect G&A to drop down back to kind of historical levels...
Sean McGowan: And Aaron, when will the 10-Q be filed?
Aaron Sullivan: 10-Q will be filed I'll say, early next week. So maybe 1 or 2 days before the deadline.
Sean McGowan: And I'll just close my questions with comment, Rob, I echo what you said about The Opportunist podcast by Tim Ballard is really excellent. Some of the more recent podcasts, I thought were a little weak, frankly, in that series, but this was outstanding. A good job to the team.
Operator: Your next question comes from the line of John Liviakis with Liviakis Financial.
John Liviakis: Rob, what an amazing story. The market's overreacted to the change in the Tesla, the evolving of the Tesla relationship. And down to [ 0.71 ] captive sales in a peer group that's around [ 3 3:1 ]. So we're so underpriced. I would argue anyway, although it's showing some turning here. really amazing, it's gotten this low. Any comments you can make about 2 things. One is the -- as you're consolidating a fragmented space with these smaller podcasters, what kind of benefits by consolidating? Are you getting some SG&A overlap reduction? Are you getting -- what kind of benefits are you seeing from that by consolidating?
Robert Ellin: I am not following the full question, Eric can probably answer that. But most of the consolidation we've already done, right? That's something that's happening now, John, that happened in previous quarters. But what I could tell you and I think where you were heading before is that trading at 70% of revenues when the industry is trading at 3.5x at this point, I think it's 3.4x revenues, right? We've been humbled again. Our stock has had multiple lives to it, right? It's dropped to these levels, and we've gone through tough cycles, both business and so on. We're a public venture capital company, right? And I've been through this, whether it was Digital Turbine, whether it was iWon, whether it's [ Jaxx ], whether it's THQ for my entire career. We've gone through cycles where stocks go up and go down and they almost look like a heart attack, right? And fortunately, some people made fortunes in the stock, and they get an opportunity to do it again, right? We're going to go through a little bit of a difficult time to fight through when the revenues kick in for Tesla and when those subscribers comfort. But at the same time, when you look at the optionality of this and you think about how much upside is, you got to think about all of it, right? We have 46 patents. We have 1 of 10, we're the #10 largest music subscription platform in the world, award winning, right. There's multiple parties who may have to buy us as well in this, right? So there's big opportunities there, but you also have a $220 million NOL. And you're looking at a podcast network that's number 11 or 12 in the world. Now you're going to our publishing and our celebrity bands, right, and a live stream, you have 5 verticals here that can have $1 billion to $100 billion of upside. And when I say that, I don't say it cavalierly where Spotify just came out and said there going to be 1 billion subscribers to music by 2027 and Goldman Sachs said there's going to be 1.7 billion paying subscribers, let alone free, so probably it would be like 5 billion. You just need to get to 10 million subscribers, right, which we're going to get to, right? One big B2B deal can take you there tomorrow. If Tesla conversions happen as well as we think, right, I mean that could be taken quickly as well. And so we have massive opportunity here, massive optionality and to trade down at these levels, there's only 2 things we can do. We can get into bunkers and fight. We did it during COVID. Stock dropped $0.60 and 6 months later, it went back to $7.5. We went to do the same thing in 2021. We've had almost every 2 years we've had this cycle It's been a really tough microcap market for everybody, but no excuses. What are we doing? We're buying back stock. We bought back 4.5 million shares of LiveOne at an average of $1.73. obviously, we're going to buy a lot more back here, right? Same thing in PodcastOne. We spun it out, right? We converted all of our debt, so there's no debt. All the debt converted at $2.10. In Podcast all of that converted at $3, right? So those are out of the way. So we got the major missiles out of the way. Now we got massive upside. And previously, we went through these cycles. We had a lot of debt, right? We don't have that anymore. So Aaron and I are excited, the team is excited and we'll put our money where our mouth is. You'll see that myself as well. I bought back a bunch of PodcastOne when the window is open. We'll do the same thing here, and, yes, I couldn't be more excited of where this is going. And I look forward to the updates and giving you guys updates on the B2B deals as well as the conversions of Tesla as well as celebrity brands. So all those massive optionality, we got work to do. I've always said we're going to win on hard work, right? We're going to outwork any of our competitors. We're going to stay in the game, and we're going to tough it out. When we go through tough times, we just -- we get stronger. And we get a little angry, right? I can tell you my team is literally working through the night on a B2B deal until 4:00 in the morning this morning, right? It's not easy. It's not just the signing of the deal, it's actually the launching of these deals, right? And I could not be more proud of Brad and the tech team and Kit and the podcast team and Josh music side of it, and Sarah in the celebrity side of it. This is the A team, right? And what they do, that first B2B deal, $24 million. We've proven not only did we sign it because it's great to sign it, but it actually worked, right? And yes, I'm hoping that deal is going to expand this year. Maybe that deal goes to $30 million or $40 million or $50 million.
Sean McGowan: Well, given your track record, Rob, some of your big success stories in the past, and given the 46 patents and the 5 verticals, and it's amazing. This is priced down here. It really seems strange. I can't believe it. I think the JPMorgan relationship, people are asking me if you could give a little more definition to what's happening there and what your plans are as well as some of the B2Bs, people want to know, can you give a little more deep color on the B2Bs that are signed and those in the pipeline, some detail?
Robert Ellin: Yes, I don't think I can give anything more than I've given today. I've been pretty clear on it. But on the banking side of it, I just flew out to Dallas met with Craig Rosoff, The Head of Media. Craig has been an amazing part. He's stuck with us in good times and bad, and he keeps battling through. And obviously, when you're 1 of 10 DSPs in the world, right, and you look at who the others are, right, you got iHeart, it called $6 billion, and the next level up is Sirius at $25 billion, and then it goes to Spotify, I think they're $70 billion or $80 billion today. It goes up every day, right? And then you go to Amazon, Apple, Google, right. There really is nobody else, right? We're the only ones truly they can white label. We're the only ones that could be a partner. And so I think Facebook is missing music service. Microsoft is missing a music service. Cosco is missing a music service. Walmart is missing a music service. Many others out there, right, that we can point to that could use their own music subscription, including Twitter, right? Twitter in a lawsuit with the record labels for hundreds of millions of dollars already, right? And as you know, all of these platforms, all these social platforms eventually settle with the record labels because you can't beat them, right? It means you can't have music. And I don't see any platform that has content not having music on it. So there's a lot of opportunities here, a lot of optionality. We'll continue to explore different things that are accretive to our shareholders. We'll continue to buy back stock, as I said. I'll personally be buying stock, as I said. And it's a very tough market. This media market has collapsed, the microcap market, I've been outspoken about this because it's the first time in my career I've ever seen it where to get on to the Russell 2000 this year, to get on last year was $156 million. The Russell is up 20%. You would think the lowest end to get on this year, if it was $156 to be $190. And it's crazy. To get on this year it was $131 million. So we proudly got back on the Russell, which it didn't help us. You got into the Russell and then you hit the algorithms and the algorithms are so powerful and they have so much money they can quickly knock you down because they know that you're going to have -- when the rebalance happens every quarter, they can knock you down on those rebalances. Maybe we're starting to see that come the other way now, right? So they killed us in the last quarter. We had 12 million shares of buying on the -- when we got on to the Russell, right? Then you had all the selling come in and the rebalance because we were down. Maybe we'll start to see that now and you could get millions and millions of shares. And I'm a big fan of shorts. I've been telling everyone this few years. Digital Turbine were to never run to $100 in a million years, it was never worth $12 billion, right? And -- but it ran there because the shorts got clobbered. And you're starting to see that happen. You may see that happen now. We get -- one little short run here and the stock could ever run back into a big range. And we've never really had the opportunity to really get sizable acquisitions on, which you guys know I've done my whole career, right, because we've never had a currency that's really been in a position to do it. I've always told everyone it takes me 7 to 10 years. I'm in my seventh year, okay? So I'm in my seventh year, I turned 60 in March. I'm not going anywhere. The only thing I want to do, I love going to work every day. I love my team. I love what we've built here. We got op skills, we've got to fight through and I fully expect that this will be the biggest -- this will be the biggest company I've built in my career. And the team that I have is the best in the world. You look at our Board and our management team, they've built over $100 billion worth of media and tech teams and nobody's walked away. They just get stronger. Any other questions? Because I know we're getting pretty late here now.
Operator: There are no further questions. I will now hand the conference back over to Robert Ellin, CEO, for closing remarks.
Robert Ellin: Yes. I think you guys have heard my voice enough. I'm super excited. I'm super energized, I'm super focused. My team is super focused. We're going to be here for a long time, and we're going to build an amazing business here and continue to grow this. And I just want to thank everyone for their support in the good times and bad times, and we're going to fight through this one again. Thank you very much.
Operator: That concludes today's conference call. Thank you all for joining. You may now disconnect.